Operator: Ladies and gentlemen, good morning, and welcome to the Tri Pointe Homes Fourth Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, David Lee, General Counsel of Tri Pointe Homes. Please go ahead.
David Lee: Good morning, and welcome to Tri Pointe Homes earnings conference call. Earlier this morning, the company released its financial results for the fourth quarter of 2024. Documents detailing these results, including a slide deck are available at www.tripointehomes.com through the Investors link and under the Events and Presentations tab. Before the call begins, I would like to remind everyone that certain statements made on this call, which are not historical facts, including statements concerning future financial and operating performance, are forward-looking statements that involve risks and uncertainties. A discussion of risks and uncertainties and other factors that could cause actual results to differ materially are detailed in the company's SEC filings. Except as required by law, the company undertakes no duty to update these forward-looking statements. Additionally, reconciliations of non-GAAP financial measures discussed on this call to the most comparable GAAP measures can be accessed through Tri Pointe's website and in its SEC filings. Hosting the call today are Doug Bauer, the company's Chief Executive Officer; Glenn Keeler, the company's Chief Financial Officer; Tom Mitchell, the company's President and Chief Operating Officer; and Linda Mamet, the company's Executive Vice President and Chief Marketing Officer. With that, I will now turn the call over to Doug.
Doug Bauer: Good morning, everyone, and thank you for joining us today. I am very pleased to report that Tri Pointe delivered a strong fourth quarter capping off an exceptional year for our company. In the fourth quarter, we delivered 1,748 new homes generating $1.2 billion in home sales revenue. Our homebuilding gross margin improved 40 basis points year-over-year to 23.3%. SG&A as a percentage of home sales revenue was 10.3%, contributing to a pre-tax margin of 14%. This generated $129 million of net income or $1.37 per diluted share during the quarter. These strong fourth quarter results contributed to an outstanding 2024 for Tri Pointe. We delivered a record high 6,460 new homes. Our full-year homebuilding gross margin was 23.3%, and net income was $458 million, or $4.83 per diluted share, representing a 40% increase year-over-year. We also achieved record operating cash flows redeemed $450 million of senior notes and finished the year with the strongest balance sheet and liquidity in our history. We continue down our path of geographic diversification in our growth markets. With significant gains in Texas where we achieved a 60% increase in deliveries in 2024, while accomplishing an 11% increase in the Carolinas. We expect to continue that momentum with our new startup divisions in Salt Lake City, Orlando and the Coastal Carolinas. For 2024, we achieved a return on average equity of 14.5%. A 270 basis point improvement over the previous year. Through these strong results and our disciplined capital allocation, including the repurchase of four million in shares outstanding via our repurchase program, we increased year-over-year book value per share by 14.5%. We remain committed to our share repurchases for 2025. In December, we announced a new $250 million share repurchase authorization. And in the first six weeks of 2025, we have already repurchased approximately 691,000 shares for a total spend of $25 million. Since the program's inception in 2016, we have reduced shares outstanding by 43%, a key driver of our book value per share growth. Coming off a record year of operating cash flow and all-time high liquidity, we are well-positioned to continue this strategy leveraging market opportunities to create shareholder value. Now turning to current market dynamics. We experienced softer seasonal sales trends in the third and fourth quarter leading to a lower backlog for the company to start 2025. Elevated mortgage rates, sticky inflation, the uncertainty around the election is slowing job growth caused some consumers to stay on the sidelines. While we did increase incentives to move completed inventory in the second half of 2024, we took a measured approach and didn't chase the market. As we plan for 2025, there are additional political uncertainties that could cause consumer hesitancy and operating headwinds. Despite these macro headwinds, our communities are well-located in core markets and as a result, our strategy is to appropriately balance price and pace to enhance margin in the current market environment. So far in 2025, we have seen a pickup in demand from the fourth quarter, and we also see incentives trending lower as order momentum increases. On the macro level, strong demographics, particularly the growing millennial and Gen Z buyer cohorts and a persistent supply shortage continue to support long-term demand. The resilience of home prices through this softer demand environment, further reinforces the strength of the market's fundamentals. Housing has been undersupplied since the global financial crisis. And we believe there are continued growth opportunities, especially for public homebuilders who are well-positioned to tackle higher interest rates through buydowns and other flexible financing options. We remain confident in our ability to navigate short-term demand fluctuations. While staying well-positioned to capitalize on the long-term growth opportunities within our markets. Tri Pointe is poised for growth over the next several years. We currently own or control over 36,000 lots, which is a 14% increase compared to the previous year. Our ability to self-develop communities which represents approximately 70% of our business creates values that should lead to strong margin and earnings from our -- these communities. As a company, we continue to invest in our core market strategy focusing on A locations that are close to employment; good schools and lifestyle amenities. Our core land holdings, along with our differentiated premium brand and customer-focused strategy allows us to attract a well-qualified and resilient buyer profile, who aspires to our product, reinforcing our long-term value proposition. The maturing millennial generation ranging in age from 29 to 44 years old now represents 64% of our backlog financing with our mortgage company, Tri Pointe Connect. Our customers in backlog with Tri Pointe Connect have an average FICO scores of 753 debt-to-income ratio of 41% and average household income of $220,000. Last year, customers spent nearly $0.5 billion at our Design Studios, which shows our consumers' desire for personalization, and represents a strong profit center for our company. In 2025, we will continue to invest in our three new organic expansion markets, Salt Lake City, Orlando and Coastal Carolinas. In Salt Lake, we currently own or control over 1,000 lots. We have broken ground in our first project and plan to open two new communities in 2025, with first deliveries expected in the back half of this year. In Orlando, we continue to build the team and make meaningful progress on the land front. Ending the year with 252 lots owned or controlled with additional land negotiations well underway. We expect first communities and deliveries coming out of Orlando in 2026. Meanwhile, our Coastal Carolina division is ramping up operations and remains on-track for deliveries beginning in 2026. Each of these markets remains highly attractive for our premium lifestyle brand and we are leveraging expertise from our established divisions to ensure success. As I conclude, I want to reaffirm that at the core of our success is our unwavering focus on creating exceptional living experiences through high quality innovative and desirable homes and communities. Customer satisfaction is not just a priority, it is the foundation of everything we do as evidenced by our high referral rate with 26% of our homebuyers in 2024, referred to Tri Pointe Homes by a friend or family member. Furthermore, we are one of the top two homebuilders in the 2024 America's Most Trusted Home Builder study, as the industry evolves with advancements in technology, including AI, and a more dynamic digital home shopping experience. We remain committed to meeting the changing needs of our customers, and delivering products and experiences that exceed their expectations. We believe our industry is well-positioned, supported by the solid fundamentals of the housing market, including persistent undersupply, and favorable debt demographics. By prioritizing the customer, we will continue driving profitable growth and maximizing long-term value for our shareholders. With that, I will now turn the call over to Glenn. Glenn?
Glenn Keeler: Thanks, Doug, and good morning. I'd like to highlight some of our results for the fourth quarter and then finish my remarks with our expectations and outlook for the first quarter and full-year for 2025. The fourth quarter produced strong financial results for the company. We delivered 1,748 homes, which was near the high-end of our guidance. Home sales revenue was $1.2 billion for the quarter with an average sales price of $699,000. Gross margins were 23.3% for the quarter, right at the midpoint of our guidance, while SG&A expense as a percentage of home sales revenue was better than our guide at 10.3%. Finally, diluted EPS for the quarter was $1.37. Net-new home orders in the fourth quarter were 940 with an absorption pace of 2.1 homes per community per month. Our cancellation rate on gross orders during the fourth quarter was 14%. Incentives on orders for the fourth quarter increased to 7%, largely focused on moving completed inventory in the quarter. As Doug mentioned, we have seen some pickup in demand so far in 2025. Absorption pace for the month of January was 2.5 and so far for the first few weeks of February, absorption pace has increased to 2.8. Average incentives on orders in 2025 have decreased to 6%. During the fourth quarter, we invested $172 million in land and land development, we ended the year with over 36,000 total lots, 54% of which are controlled via option. We under control all the land needed to meet our community count and delivery goals for 2025, 2026 and the majority of 2027. We ended 2024 with 145 active selling communities, for 2025, we expect to open approximately 65 communities and end with 150 to 160 active communities. Based on our strong law position, we expect meaningful community count growth over the next several years as we grow our community count in our growth and startup markets of Utah, Texas, the Carolinas, and Florida. Looking at the balance sheet and capital spend, we ended the quarter with approximately $1.7 billion of liquidity, consisting of $970 million of cash, $694 million available under our unsecured revolving credit facility. Our homebuilding debt-to-capital ratio was 21.6% and our homebuilding net debt to net capital ratio was negative 1.6% to end the quarter, both all-time low ratios for Tri Pointe. During the fourth quarter, we repurchased 1.2 million shares for an aggregate dollar spend of $50 million. For the full-year, we lowered our outstanding share count by 3.2% repurchasing a total of four million shares for a total spend of $147 million. For 2025, we are targeting spending $50 million a quarter on share repurchases with the ability to be opportunistic up to our $250 million annual authorization as we balance our capital needs with market opportunities. Now I'd like to summarize our outlook for the first quarter and full-year of 2025. For the first quarter, we anticipate delivering between 900 and 1,100 homes at an average sales price of between $685,000 to $695,000. We expect homebuilding gross margin percentage to be in the range of 22% to 23% and anticipate our SG&A expense ratio to be in the range of 15% to 16%. Lastly, we estimate our effective tax rate for the first quarter to be approximately 26%. For the full-year, we anticipate delivering between 5,500 homes to 6,100 homes with an average sales price between $660,000 and $670,000. The projected volume of deliveries takes into consideration the lower backlog we started the year with and the strategy to balance price with pace with a focus on margin. Based on the current level of incentives on our mix of lot costs for new communities in 2025, we expect our full-year homebuilding gross margin to be in the range of 20.5% to 22%. Finally, we anticipate our SG&A expense ratio to be in the range of 11% to 12%, and we estimate our effective tax rate for the full-year to be approximately 26%. With that, I will now turn the call back over to Doug for some closing remarks.
Doug Bauer: Thanks, Glenn. As we wrap up, I want to take a moment to express my gratitude to the exceptional team at Tri Pointe, who are pivotal to ongoing success. Their hard work, talent, dedication to our core values and mission fuel the numerous recognitions that Tri Pointe has recently enjoyed, including being named as a 2024 Developer of the Year. Our view of the future for the new home market is very positive. We continue to see strong demand from the millennial and Gen Z cohort, a significantly under supplied market with a persistent shortage of housing and less competition from the resale market, due to the lingering locked-in effect. As a result, we remain confident in the long-term outlook for our industry and that Tri Pointe is strongly positioned for ongoing future growth and success. We have a clear vision, the right strategy and a strong team to capitalize on the opportunities we see in the market. With that, I'll open the call for questions. Operator?
Operator: [Operator Instructions] The first question comes from the line of Stephen Kim from Evercore ISI. Please go ahead.
Stephen Kim: Thanks very much, guys. Appreciate all the color as usual and good job in the quarter. I wanted to ask you about your guidance. And in particular, you gave some encouraging commentary about the pickup in demand over the last few weeks, several weeks. And yet the lower end of your gross margin guidance range of 20.5%. I was wondering if you could talk about what sort of things are embedded in that would cause you to hit that number? Are there mix effects, for example, that we should be thinking of -- what kind of trajectory and incentives does that envision? Obviously, I know you have a -- you always embed a pretty considerable amount of conservativism in your numbers, but it would be helpful, I think, for us to understand what's in that. What would lead to a 20.5% gross margin and then continuing along that, if I take the high end of your SG&A guide, that would imply an operating margin of about 8.5%. And I'm curious if you could just sort of comment about how you feel about it as that as sort of represent -- is that representative of what you would expect you could sustain over the longer -- longer-term?
Glenn Keeler: Hi, Steven, it's Glenn. Good question. So looking at the gross margin at that lower end, that would imply continue kind of elevated incentives like we saw in the first quarter. And in our prepared remarks, we said incentives have come down a little bit so far in '25, but only from 7% to 6%. So 6% is still elevated levels of incentives for us. And to get to that higher end of the range of the market, it would have to be market improvement from there and lower incentives really to drive that. On the SG&A side, I would say 8.5% is low long-term, right, as we grow our startup divisions and get more scale on larger revenue and top line growth, I would see that that margin be better than the 8.5% long-term.
Stephen Kim: Got you. I appreciate that. And when you talk about the SG&A, you gave a very high guide in the 1Q. I know that actually you've -- the first quarter has consistently surprised you relative to your guide by on average more than 200 basis points over the last three years each. So I was curious if you could talk a little bit about what sort of factors are present in the first quarters that have caused you to be so surprised when your ultimate results come in far better than your guidance. Is there something about the first quarter that we should understand?
Glenn Keeler: No, nothing about it specifically. Generally, if we end up beating on revenue, we'll get a little bit more leverage. But really the savings in the last couple of years have been on the S side of things. So if we end up having a better quarter from a better co-broke or better sales and advertising savings, that's how we have beaten that number in the first quarters in the past. But the reason obviously the number is elevated in the first quarter is just due to the lower revenue we were projecting in the first quarter.
Stephen Kim: Yes, got it. Okay. Great. Appreciate that, guys. Thanks very much.
Glenn Keeler: Thanks, Stephen.
Operator: Thank you. The next question comes from the line of Paul Przybylski from Wolfe Research. Please go ahead.
Paul Przybylski: Yes, good morning. I noticed your quarter ASP was up about 3% sequentially and 5% in the East. Is that -- is that really due to mix or do you have any component of pricing power? And along those lines, I also know that the builders typically try to pass along cost increases. What ability do you think in the current market environment do you have to pass along any potential tariffs?
Doug Bauer: Yes, Paul, this is Doug. I think as you look at tariffs going into this year, they really affect the bottom, back third of the year. So there's a lot of unknown. As far as pricing power, I think it can range in different submarkets from either, broadly speaking, 1% to 5%.
Glenn Keeler: And to answer the first part of your question, Paul, that ASP change was just mix in the fourth quarter that you saw.
Paul Przybylski: Okay. And I know it's pretty early in this process, but has DOGE had any negative impacts on your mid-Atlantic business over the past several weeks? And similarly, did you see any kind of fall off in demand in California? I know you don't build in the Pacific Palisades, but given the wildfires kind of brought the insurance controversy back to the forefront, did that have any kind of negative impacts on you?
Doug Bauer: As far as the East Coast, no, actually DC metro is one of our stronger markets. So none of the – DOGE effects have been felt. As far as the insurance, yes, there are some insurance issues, most notably out in the Inland Empire at the entry level that -- but we're working through that with our Tri Pointe Assurance and having solutions for the consumers. In some cases, we're utilizing some incentives to help, especially with the entry level homebuyer. That's where it's most affected as far as the insurance side.
Paul Przybylski: Okay. All right. I appreciate it. Thank you.
Doug Bauer: Thanks, Paul.
Operator: Thank you. The next question comes from the line of Mike Dahl from RBC Capital Markets. Please go ahead.
Mike Dahl: Good morning. Thanks for taking my questions. I guess just to circle back on the pace comments, I'm actually -- it's not clear that what you articulated, is that encouraging in terms of January and February if I look back historically at your typical either sequential increase or absolute level of pace. So if I think about kind of 2.5% in January 2.8% in February, last year, you did a 3.9% a month in 1Q of '24 and I think usually March is only up modestly versus Feb. That kind of implies down 25% to 30% year-on-year. I know different market dynamics, different mix, but can you just talk about that a little bit more and if that's really the ballpark that you're kind of thinking about and how that plays through the balance of the year when you're speaking about this balanced approach to pace and price.
Glenn Keeler: Yes, Mike, good question. This is Glenn. Our comments were relative to Q4. And so we have seen a little bit of improvement like we said in January, which was 2.5%, February so far 2.8% and that's coming off of a Q4 were around 2.1%. But you're right, year-over-year is a tough comp. Last year was unseasonably strong, this time of year. And so we are down year-over-year. And that's partly reflected in the delivery guidance for the full-year, assuming this kind of market.
Doug Bauer: And I might add some color to the consumer, obviously, year-over-year but absorption paces will be down when you compare it to '24. It's interesting to note that the consumer and the consumer mindset, if you look at mortgage rates today and where they were a year ago, they're basically the same, plus or minus a 10th of a point here or there. And so what this business is really all about is and I've coined this phrase before, there's a little bit of financial therapy going on in the sales office. And the great thing about being a homebuilder like Tri Pointe and many of our peers is we have the levers to pull to be able to make that decision and payment more affordable. But it has definitely changed the psychology of the homebuyer. A year ago, there was all this anticipation of rates going down, discount rates went down, mortgage rates go up. So it's really confused the homebuyers. Now they're getting a little bit of the uncertainty with the current administration, my personal opinion is this is a short-term demand issue, short-term kind of news headline. Long-term, not only is the company but also the economy and the industry going to be well-positioned for growth. So I'm very bullish going forward.
Tom Mitchell: Hi, Mike, this is Tom. One other thing to take into consideration relative to your question is really our focus on enhancing margin that we discussed. And historically or at least over the last couple of years, our business has been planned and projected to run at about 3.5 absorption per month. This year, we're making a conscious effort and we're planning our absorption about three per month. So that's right in-line with your thought process as you look at '25 going forward.
Mike Dahl: Okay. Yes, thanks for that, Tom and Doug, because my follow-up was going to be back on that, the decision or kind of targeting. So is that kind of you look at the market and you're saying if I've got 6% incentives today, that's about the pace that I can run. And for your business and your land position, do you think the tradeoff is too great in terms of what you'd have to give up on incentive or margin to push the pace back towards how you typically run it?
Tom Mitchell: Yes, exactly. And you really look at the macro, our number one competitor has always been the resale market. And yes, there are some submarkets that have a little bit more supply. But nationally, our major competitor is not turning about 1 million to 1.5 million homes. So if you look at the logs of supply and demand, there's not -- there's not enough supply in the resale market to make it down. And the builders are -- have some supply in certain markets, but it's nothing to be worried about. So our focus is just the way you talked about it. 6%-ish would be the right incentives, focus a little bit more on margin over pace, still got to sell homes, still got to generate cash flow, but we're not going to -- the incremental effect of doubling down or increasing your incentives is worth in the end -- in the final analysis in our mind.
Mike Dahl: Okay. Appreciate that. Thank you.
Tom Mitchell: Yes.
Operator: Thank you. The next question comes from the line of Ken Zener from Seaport Research. Please go ahead.
Ken Zener: Good morning, everybody.
Doug Bauer: Hi, Ken.
Ken Zener: I know you made gross margin comments for the high, low range in 1Q. Can you kind of talk about what's leading to the progression the 20.5% to 22% for the full-year, if it sounds like assuming incentives stay the same. So is it mostly just the regional mix as you expand in new regions?
Doug Bauer: It's not really regional mix, Ken, because our -- across the regions, the margins are pretty similar. It's really about new communities coming on throughout the year at a higher lot cost and closing out of some high margin communities in the first quarter. So that's why you see a little bit of a difference in that higher first quarter margin versus the rest of the year. We're opening 65 new communities this year. So we started the year at 145 communities and we gave you the range of 150 to 160 to end. So that means we're turning over about half the communities as well. And that just -- that mix is kind of what is leading to that progression of margin throughout the year.
Ken Zener: Appreciated. And then if the communities are newer, realizing you're doing quite a bit of your land development, how should the interest expense kind of be looking like? What would you say that number is going to be as we kind of get exit this year?
Doug Bauer: Our interest expense will definitely be lower this year than it was last year. Part of that is paying off the $450 million of senior notes last year and then just having a higher inventory base to kind of amortize that expense over. So you will see our interest trend down.
Ken Zener: Thank you.
Operator: Thank you. The next question comes from the line of Carl Reichardt from BTIG. Please go ahead.
Carl Reichardt: Thanks. Good morning, everybody. You mentioned that revenue in '24, $500 million or so was Design Studios. So I think it's about 11% or so of revenue. So as you're thinking about margin focus for '25 and maybe beyond that, A, are you expecting that number to grow faster than overall sales; B, what kind of margin are you earning on that $500 million of incremental? And does that also mean that you'll move more to build to order and away from spec as you look at expanding the community count, maybe that's also true of the price points in '25 and beyond?
Tom Mitchell: Hi, Carl, it's Tom. Good questions all the way around. And as you know, we really try to differentiate ourselves with our Build-to-Order business and Design Studio business. Even on specs, we maximize our opportunities through the Design Studio. I would say that our growth relative to that is really dependent on just basically volume growth and revenue growth within our homebuilding operations. So I would expect to target a very similar revenue kind of number as we achieve this year. As you look on it relative to gross margins, the business is highly profitable and our gross margin target is at 40% for our Design Studio business and we are achieving that now. And then as you look to -- what was the last part of your question?
Carl Reichardt: I was just wondering if that -- if you'll switch your mix, I mean, knowing that you'll do some spec up until drywall and allow people to customize, but will your mix of true build to order versus true spec past the ability in which it can add options, if that will change in '25, it kind of looks like it may.
Tom Mitchell: Yes. Marginally, it will change a little bit. Historically, in the last couple of years, we've been running probably a 65-35 mix. And as we go forward, you'll probably see it shift down slightly closer towards 50-50.
Carl Reichardt: Great. Thank you, Tom. And then just, I guess for Glenn, on the land side, if I've got it right, about 20,000 lots optioned and I think 6,000 or so of those are in JVs. So of the 14,000 left, Glenn, what percentage of those are you doing via land bank off balance sheet structures versus, say, finished lot option contracts or self-developed farmer options where you'll put up very little upfront and then have those on balance sheet to self-develop? And do you think the pricing of land bank capital is likely to change meaningfully over the course of the next year or so?
Glenn Keeler: Good question. I would say of that option number, probably about 75% is land banked and the rest are more like you said, options with individual sellers. And then some of them are just well, I should take that back to probably more like 50% because some of those are options with true -- like where we have the deposit that, but we haven't taken down the land yet. As far as pricing, I think there will be some downwards in a positive way. Pressure on pricing. There's a lot of capital out there. There's a lot of people interested in land banking and it's creating good competition for the market.
Carl Reichardt: All right. Thanks, Glenn. Appreciate it guys.
Glenn Keeler: Thanks, Carl.
Operator: Thank you. The next question comes from the line of Jay McCanless from Wedbush Securities. Please go ahead.
Jay McCanless: Hi, thanks for taking my questions. So the first one I had, it looks like completed specs are more than double where they were this time last year. I guess, is that part of what's driving this pretty steep decline in gross margin through the year getting through those homes? And also, could you talk about what the spread is between your gross margins versus spec at this point?
Glenn Keeler: Hi, Jay, good question. They are up compared to last year, but from a historical perspective, it's kind of right in-line with where we normally have been. If you look at kind of pre-pandemic when things changed quite a bit, we were three to four per community on a completed basis. And right now, we're I think we're at 3.1 on a completed basis. So that is not out of the normal for us and that's not what's driving the margin compared to 1Q guidance for the full-year guidance. That was again more mix of new communities with a different lot basis than the ones we're closing out. So it's really just mix driving that.
Tom Mitchell: And then, Jay, relative to the question about the spread from to be built to stack, historically that's been about 2%, but obviously with more completed right now in the higher interest rate environment, that's a little bit higher, I'd say it's closer to about 4%. And that is incorporated in the numbers that we presented. So you're right on in that assumption.
Jay McCanless: Okay. Thanks, Tom. And then in terms of your customer mix, where do you think you are with first time buyers now versus maybe this time last year?
Linda Mamet: Jay, this is Linda. That's a really interesting question. We are seeing less first time buyers in our backlog and that is certainly a result of seeing more opportunity in first and second move up in particular and also the aging of millennials, as Doug talked about in the script.
Jay McCanless: Okay. And then I guess the last question I had, I think on the third quarter call, you guys had talked about 170 to 180 communities by fiscal '26. Is that still viable or where are you thinking that goes now?
Tom Mitchell: Yes. It's still in that range, Jay. It will just depend on the market and how we close communities and timing of opening communities, but it's in that zip code.
Jay McCanless: Okay. Great. Thanks for taking my questions.
Operator: Thank you. The next question comes from the line of Jesse Lederman from Zelman & Associates. Please go ahead.
Jesse Lederman: Hi, thanks for taking my questions. Linda, a quick one on the price point, information you just addressed. So it sounds like the move up price point and demand from those buyers is stronger than at the entry level. Is that right?
Linda Mamet: Yes, there is some shift there. Our order segment mix for the fourth quarter was 40%, premium entry level, 39% first move up, 14%, second move up and then 6% in luxury, 1% in active adult. So that has shifted over time at one-time with lower interest rates, our premium entry level segment was closer to 50%.
Doug Bauer: Yes. And Jesse, as far as demand goes, absorption pace, historically, entry level is a little bit higher than move up, but it's about consistent with move up right now, which is I think part of your question is expected considering higher rates and where our mix is.
Jesse Lederman: Okay. That's really helpful. Thank you. My second question is something we get from clients a lot is the impact from ICE rates or deportation. Have you seen any impact from either the supply side of the equation or the demand side of the business?
Doug Bauer: Hi, Jesse, it's Doug. No. No impacts at all. And typically our trades have maintain the necessary requirements as far as making sure that they're legal citizens. But our trades have employees and teammates that have been with them for quite a while. So I would -- we're not expecting any labor issues this year, to be honest with you. I mean, the tariffs are going to have some impact, but it's still too early to tell exactly where that's going to land out.
Jesse Lederman: That's what I thought. Thanks so much.
Doug Bauer: Yes.
Operator: Thank you. As there are no further questions, I now hand the conference over to Doug Bauer for his closing comments.
Doug Bauer: Well, thank you, everybody, for joining us on today's call. We look forward to chatting with all of you in April. And have a great week. Thank you.
Operator: Thank you. Ladies and gentlemen, the conference of Tri Pointe Homes has now concluded. Thank you for your participation. You may now disconnect your lines.